Operator: Good evening. Thank you for attending today's Fisker, Inc. Third Quarter 2021 Earnings Call. My name is Erin, and I will be the moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to your host, Dan Galves with Fisker. Thank you, Mr. Galves, you may proceed.
Dan Galves: Thanks a lot, Erin and welcome everyone to Fisker's earning call. Joining me on the call today as usual are; Henrik Fisker, Chief Executive Officer and; Dr. Burkhard Huhnke, Chief Technology Officer and; Dr. Geeta Gupta-Fisker, Chief Financial Officer and Chief Operating Officer. Before turning it over to Henrik, we advise, we will make forward-looking statements within the meaning of the Federal Securities laws. Forward-looking statements generally relate to future events or future financial or operating performance. Our expectations and beliefs regarding these matters may not materialize. Actual results and financial periods are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These risks include those set forth in the press release we issued earlier today, as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on information available to us as of today. We disclaim any obligation to update any forward-looking statements except as required by law. We'll reference our financial matters that do not conform to Generally Accepted Accounting Principles or GAAP during today's call, including non-GAAP operating expenses. This information may be calculated differently than the non-GAAP data presented by other companies. Quantitative reconciliation of our non-GAAP financial information to the directly comparable GAAP financial information appears in today's earnings release. With that, I'm happy to turn the call over to Henrik.
Henrik Fisker: Thank you, Dan. And welcome, everybody. I got some real interesting news I want to share in the end of my presentation, but I'll just start with some high level bullets around the business. We are still on target with the Ocean to launch it in November next year. In fact, we're going to start ramping up the prototype built was Magna already in Q1 next year. We have of course already made some prototypes, but from about industry one next year, we expect to start building two vehicles a day. I think that's pretty outstanding well over eight months before we launched the vehicle, and that will make sure when we launch we can ramp up quickly into the high quality vehicles and that's on target. We also now hired a lot more people we continue to hire probably somewhere between 20 to sometimes 30 people a month, and we have well over 300 people in the company now. Our balance sheet remains solid with about $1.4 billion in cash and also we continue to accelerate our reservations and I'll talk a little bit about our marketing push as well. But just gearing up to the unveil of the Ocean here at the LA Auto Show, where the PEAR, they start 17th, but we're actually on a special event, the day before, which we will stream worldwide. So we are really excited about that, going to talk a little bit more about that closer to that event date. We also got into a validation phase that Burkhard will discuss and get a little bit more into detail about. And then, of course, at the show, where we are in LA Auto Show, we are going to really talk about the specifications of the vehicle, show our brand new designed interior with some pretty amazing features definitely some that currently don't exist in any vehicle today. So I'm super excited about that. Also, we have made progress on the PEAR program, and actually our internal team have come up with an expanded strategy around our FF-PAD development metric. And what we're looking at is much more Fisker IP sharing between the Ocean and the PEAR, meaning a lot more components that we have developed and created IP on throughout the Ocean program. And what that means to the Ocean is that, when we launched the PEAR when before, we are going to start being able to use some of these components in both vehicles and much higher volume that ultimately will actually lower the Ocean bill the materials, the cost of those and even more. So I'm also really excited about that. Let me get to marketing and sales. We have expanded the team dramatically, we have hired an agency, which we are working of creating marketing materials, we are really waiting to, of course kick off our big marketing push to around the 17th of November, when we show the car, we obviously needed the vehicles to feature in advertising, online, digital media, et cetera. And all this is in the works right now, we are going to launch both in US and Europe, major campaigns. I think they have some really cool stuff and I'm really excited about it. And that's going to go full blast from 17th of November, and I expect that we will start seeing major acceleration in our reservations at that point in time, as you obviously got to get more known across both the US and Europe. We've also made progress on the ESG initiatives. And we're really looking at wanted to be able to explain more details and use real primary data about the full cradle to cradle Lifecycle Analytics. And we'll be as we get closer towards our startup production. We'll get more into details on that. Now let me return to sort of the real big news here, which is our new signed deal with CATL for batteries. And I want to elaborate a little bit about why this is such a big deal. We are going to launch very uniquely the Fisker Ocean with two different battery chemistries, of course, two different packs. And we're already running tests on these packs, of course, they're going into all the prototypes as well next year. But what's unique about these two different packs is, the base pack actually is amazing when it comes to cost, because it's using LFP and that's a much lower [technical difficulty]. And that's how we are currently able to achieve the low cost of the Fisker Ocean, specifically in that base price of $37,499, which I think is unrivaled by any competitor, also the type of rains we're going to have there is going to be more than adequate probably for most people, and quite good actually. And then, of course, we have the second battery with an MC. And the advantages of that battery is not only in the cell, but really in the pack. And also what we have done with the structure of the vehicle in terms of the design of the pack itself. So our pack is not the Spaceball pack is not the typical square space you're seeing every single EV out there has a slightly different configuration, which we're not planning to show off to our competitors too soon. But what allows us to do is, get the world's longest range in our segment for an SUV and in our price class. Of course, you can make $150,000, $200,000 car with incredible range, but to make a vehicle you know, between $50,000 and $60,000 was such a long race that we have achieved. I think it's really magnificent and it really shows what a phenomenal engineering team we have, great partnership we're having with CATL and I'm really excited to show those numbers at the LA Auto Show, in fact, we will have models that people can choose between, we got the Sport model which will have the LFP battery, extremely well-priced. And then we have the two other models, which will reveal the names of the LA Auto Show. But both of those two will have the longest range in the segment. And as you know, right now, the longest range for sale in the US and so that $50,000 to $60,000 for either an SUV or crossovers about 326 miles. And we'll be well over that with both these two other vehicles and I'm really excited about that. What's also unique about our powertrain is the efficiency, because at the end of the day, we have an SUV. I didn't want to you know, ski - sort of skip out here and just do another hatchback crossover with great aerodynamics that doesn't really look that great. We wanted to create a vehicle that can sell globally in the fastest growing market in the world, which is SUVs. That's what people love, they love the utility, they love the looks and that's what we're going for, so we want to be different than our competitors and despite having that larger SUV vehicles, but all the utility that comes with it, we still have a vehicle that's class meeting and range. And, of course, as I mentioned, it's partly to do with CATL. It's partly to do with our energy dense battery package. It's partly to do with how our vehicle actually is designed and engineered in terms of the space for the battery. And then our incredible powertrain which we're going to talk more about at the LA Auto Show as well. But one thing I will say that we haven't announced yet is that every version of the Ocean will have silicon carbide inverters, also the base vehicle and that is part of a contribution to our really, really high performance powertrain long range, really efficient. And I think what's interesting here is, why would we be ahead of the competition? Well, we chose all this technology this year. So when you get a Fisker Ocean in 12 months from now, your technology is the newest of the newest. If you buy any other car next year, most likely that technology was chosen three years ago. So that's why we're different and that's why we're going to be costly. I now want to hand it over to Burkhard to talk a little bit more about the details of what we're doing on the Ocean program. Burkhard?
Burkhard Huhnke: Yeah, thanks and again, welcome everyone. As Henrik said, this whole thing poses for Ocean is down to just a small few parts of the set of items. So we have moved into this industrialization phase of the program. This involves, of course, a series of both virtual and physical prototype bills that's already began earlier this year and will be ongoing through most of next year. We need to do the hard work to ensure all the components are seamlessly integrated, that we are on track to hit all the attributes we planned for the car, and that it will meet all the safety, performance, durability standards in all weather conditions, and that it can be manufactured with the quality. So testing of our first builds are so called Mule 1 was completed some time ago. This was primarily to test the correlation of virtual safety testing with physical results. The Mule 2 build is complete, and testing is ongoing. This continues than we won testing but also adds powertrain, the battery electrical system function and the platform durability. We also test complete vehicle function in hot and cold weather industries. Finally, as you can see from the photos on the earnings release, we are very happy to have started the next prototype bid at our manufacturing facility in Graz using production intent components. And we can say it's super helpful, very helpful to build prototypes in the actual production facility, which is unusual for a startup. The Body Shop is operational and once general assembly is up and running, the shop has capacity produce up to two cars per day. I'm very proud of our technical teams, both at Fisker and Magna. For accomplishing a lot in the short period of time. We have the right plan to achieve on time start production. So that's been through all the required test and validation work to prove quality, visibility and durability from the start. Thanks and now I'll turn over to Geeta.
Geeta Gupta-Fisker: Thank you, Burkhard and welcome everyone. I'm really excited to be here today. Overall, I can say I'm really pleased with what we've accomplished as a team in preparation for the Fisker Ocean SOP which is now just a year away. Over 90% of the Ocean bill of materials is now sourced and the remaining components, mostly just off-the-shelf parts. The sourcing process was definitely not easy, but ultimately we were successful at procuring a significant amount of advanced technology, which will result in an amazing product packed with class-leading features. Beyond sourcing, the development process of Fisker Ocean has taught us a lot. In various components and various technologies at both the system and the subsystem level has resulted in exciting Fisker-owned intellectual property that we intend to put to use on all our future vehicle programs as Henrik just alluded to now. Our recent announced battery reservation agreement with CATL marks our final long lead and one of the most critical items in the vehicle. Of course, the two companies have been working together on development, validation and testing since last year. And now we're really pleased that we can share with the public of committed long-term capacity agreement. And I want to make a statement that we actually visited CATL in 2019, and had spent three to four years developing trust and a phenomenal relationship with leadership at CATL. And it's evident from the quote that the President of CATL made in our joint press announcement. We have a committed supply of over 5 gigawatt hour per year capacity initially, this includes two different chemistries as Henrik mentioned, a long range NMC chemistry-based pack which is a high capacity pack in the cathode that supports segment-leading range, and a high value pack which uses LFP to the cathode that suppose - that supports the compelling price of Fisker Ocean Sport, while providing range and acceleration consistent with a much more expensive EVs. We see this a very deep and strategic relationship with CATL and as part of our contract, we have the ability to jointly plan 12 months ahead of time to increase our capacity, as we see demand in the market, including opportunities to localize production in various countries globally over time. We are now in EV working with our suppliers and partners on the test and validation space that Burkhard mentioned supported by a robust set of timelines, milestones and shared deliverables. As we move from the sourcing phase to the industrialization phase, I have been able to turn my personal focus for - to the balance sheet as well as preparing the business to scale by focusing on our operations, hiring and building processes. We took action to bolster our balance sheet in August this year, raising $667.5 million in a convertible note offering at 2.5% interest rate and a 30% conversion premium through a cap call. We use part of the proceeds to fund the cap call reemphasize we had a 30% conversion premium, and we use part of the proceeds to fund at cap calls that takes the effective conversion price to $32.57 or 115% of the stock price at the time of the convert. This was an efficient way to bolster the balance sheet and derisk funding for our additional vehicle programs. The timing was by choice, it was not out of a need. And the cap call signals our confidence in the future value of the company based on our internal view of both progress-to-date and the stellar product line we intend to launch. On the operational side as Henrik mentioned, we've also had a phenomenal year in hiring. We have 100 people last year, we now have over 300 employees that includes 20 extremely seasoned Vice Presidents have done a great job in building their own departments and the entire organization. And we have empowered our entire company with a very attractive performance-based restricted stock unit bonus, which has not created our existing employees to be part of the success of Fisker, but it's also helping us immensely in retaining and hiring talent in this hot new market. We are now working with our advisors on setting up global entities worldwide and IT systems that take us from a development company into a revenue-generating product company with customers worldwide, and Henrik covered the work we need to build out the customer experience functions that are critical to launching a successful product. Our products are the number one focus, but if you don't have right IT systems in place to support those products, the business simply cannot scale. Now turning to our results and outlook. Our operating expenses in Q3 aligned very closely with internal expectations. Capital expenditures were way below our expectations. As many of you know CapEx is lumpy and very reliant on timing of billings and suppliers, which can sometimes be hard to predict. Our forecast assume timely billing and it's been slower than we expected. Despite ongoing work. That billing activity has picked up significantly so far in Q4. So we have good visibility that CapEx will increase meaningfully in Q4 as implied by our guidance. Operationally, the increase in R&D in Q3 versus Q2 was primarily the result of increased headcount, increased prototype spending and modest engineering design and integration refinements as we enter into our industrialization phase. We expect a more modest sequential increase in Q4 on headcount and as the prototype that continues to ramp. The increase in SG&A expense in Q3 versus Q2 was the result of a higher professional services as we engage the global advisory firm for tax structuring and IT spending on global ERP systems and CRM installations. We expect SG&A to more than double in Q4 due to kick off of marketing campaigns to build our brand, including significant spending on the LA Auto Show unveil of Fisker Ocean and activities surrounding that event. Plus, we will begin to accrue lease expenses on our flagship LA Experience Center property we recently signed. Now turning to Outlook, as noted in the press release, our overall OpEx plus CapEx guidance stays unchanged at $490 million to $530 million, but there has been adjustments in the categories. Our R&D increased $15 million at the midpoint. This is related to the refinement of the test and validation plan for the remainder of 2021. Our SG&A increased by $10 million due to a more robust marketing plan for Q4 and the flagship store lease I mentioned earlier. Higher OpEx is offset by about $25 million lower CapEx spending, which is related to receiving late invoices from suppliers. Work is progressing on track, but we spend time refining when we are likely to be built for the work. Overall, I'm extremely proud of our entire fiscal team for all the accomplishments we've made so far in 2021. We have a lot of work ahead of us for sure, as we enter the critical industrialization phase, but we have a lot of confidence in the plans. We have established to execute a fantastic profitable product on time and budget. And I can't wait to unveil the Fisker Ocean at the LA Auto Show. We're now happy to take your questions.
Henrik Fisker: Thanks, Geeta. Erin, can you please compile the queue?
Operator: Certainly. We will now begin the QA session. [Operator Instructions] The first question comes from Jeoffrey Lambujon with Tudor, Pickering, Holt & Company. Please proceed.
Jeoffrey Lambujon: Good evening, everyone. Thanks for taking my questions. My first one is on batteries. You know, I appreciate the detail and yesterday's release and some of the teasers from today's call on the characteristics and also how you spoke to the LA Auto Show in two weeks for a much more detail, which are very much looking forward to. But is there anything more you can give us just today, as we think about pack costs between the two chemistries, and any more detail on the range as you think about those would be helpful as well.
Henrik Fisker: So, you know, we want to give our customers all the information they need and desire. But we don't want to give all the information what our competitors want. So I don't think it make any sense for us to give the exact price of our batteries. But I think what we can say is, we know that they're on par with some of the biggest car companies in the world in terms of cost. But you know, the real advantage here in terms of cost of the pack is, the fact that we're using LFP in the base vehicle, I don't think there's any vehicle in our class right now in the US that's using that. And that might be one other that's using it, going to use it. But I think that's one of the bigger advantages and the advantages that we design our battery volume and our packs, so we can get quite a lot of power over the LFP, because LFP the reason is low - part of the reason is lower cost and is also is not an entity dense as NMC, so you won't get the same power. But if you have more volume, you can get a pretty good amount of power into the vehicle. And that I think is what's going to set the Ocean apart.
Jeoffrey Lambujon: And also maybe -
Henrik Fisker: Yeah, go ahead, go ahead.
Jeoffrey Lambujon: I think you go ahead.
Henrik Fisker: No I was just going to say, you know, range, you asked about the range. I mean, we kind of want to wait and surprise people at the LA Auto Show. But I think the real key again here is, some people you know, may not really need to carry a giant battery around and therefore we have that LFP solution which makes us extremely price competitive. But if you do want a range then we do have a really cool long range. And like I said, it will be the world's longest range in our segment and our pricing. So, of course, please don't compare us to, you know, vehicles that cost in the $100,000, $150,000. But if you compare us to vehicles in our price class and the type of vehicle, our vehicle is, we will have the longest range in the world in the Ocean in the two versions that sits above the baseboard version.
Jeoffrey Lambujon: Understood, appreciate it and I understand that we'll have to wait a couple of weeks to really get the detail. My second one's just on marketing. There's clearly a lot going on as you all highlighted just preparing for the LA Auto Show and the marketing push to kind of accompany the unveil. With the Experience Center lead secured and the growth in the customer experience teams. I was wondering if you could just talk a bit more about the game plan for the marketing part of the strategy as you think about growth and reservations over time.
Henrik Fisker: Yeah, so we are creating content right now, and we'll continue creating content over the next couple of months. And what I mean by content is, you've got to make real exciting videos that can be used as online, digital you know ads and engagement with different potential customers. We have hired some unique agencies that are specialized specifically in digital and then with AI et cetera, to how we reach the right customers, but in the end of the year it comes and you know, I know a lot of people are saying, why don't you start blasting a whole bunch of stuff out now. I think it would be a waste of our money. We're still 12 months away from delivering, we're sold out you know well into 2023. But my expectation of our marketing teams are that we will have at least 50,000 reservations by before we start the production next year. And I think we have a really, really strong marketing plan that is comprised of online content, other means of marketing and PR we are recruiting unique PR moments. We obviously are in Hollywood, and have already planning and have already secured as being in a couple of different films and TV series. And of course, we have also plan a host of events throughout US and Europe. And then we are going to open experienced vendors, we have a whole new strategy that nobody's used before, when it comes to displaying our vehicles and how we deliver our vehicles is all about creating the ultimate experience I believe. I think the automotive industry is still far behind in experience, you look at how quick you can order a pair of shoes on Amazon. And then, you know how - what happens when you order a car and how long it takes to get and how many papers you have to sign and considering it's maybe $40,000 or $50,000, how's that experience. We want to create and be the number one and experienced in the world. And that goes from everything to interact with the brand to how you purchased the vehicle of flexibilities to vehicle, how your ownership goes throughout the time of your vehicle, what we're going to do over the update, et cetera. So all of that, of course, we're going to elaborate on over the next 12 months to show how we think we're taking the lead in many of these areas.
Dan Galves: And Jeoff, I just have one more point to add. I mean, as we had put in the press release, we've got over 70,000 registered app users. And you know, we think it's pretty unusual for people to reserve a product more than a year in advance when they don't know what the content and features is. So we're really happy with our reservation today. But we think, you know, just talking about the details of the content, the pricing of the entire Ocean lineup, the range, all of these details about the car triggers you know quite a few of those registered app users to reserve. And it also helps with fleet sales, because most fleets are certainly not going to get into you know, detailed discussions about a product that they don't know exactly what the content is. And that's all going to come out in two weeks. Can we go to the next question, please, Erin?
Jeoffrey Lambujon: Thank you very much.
Dan Galves: Thanks, Jeoff.
Operator: Absolutely. Thank you, Mr. Lambujon. The next question comes from Joseph Spak with RBC. Please proceed.
Joseph Spak: Thanks very much, everyone. Going back to the battery announcement which seems important here. Two questions. One, the decision to go to LFP to offer you know a more compelling you know low on vehicle is that at all change your potential demand outlook for that variant? And then secondarily, if you could just sort of talk about your scope to grow your allocation of gigawatts of CATL overtime if needed?
Henrik Fisker: Yeah, so it was always our plan for well always since quite a while it was our strategy to you know use our vehicle or put our vehicle in a much higher potential buyer group than you normally see. So if you look at all the electric vehicles out there today that are SUV or crossovers so let's forget the hatchbacks, they're all very expensive and they're all sort of staying pretty much within a narrow spectrum of pricing. And I think the unique thing about the Ocean is that we start at $37,499 for [technical difficulty]. And that is an amazing price. You know, the average price of a car today I think has gone over $40,000 now. So we are really among what would - you would really consider affordable and reachable for everyone. Secondly, with our flexible lease, when we start that, again, we're going to attract a whole new buyer group that very few other car companies have the ability to reach because of the way we structure our flexibilities when give the car back anytime. So absolutely. I think that we have a real possibility, once we get production going to potentially scale up on the side of LFP. Then finally, your question about CATL and what happens if we, for example, see that we can sell a lot more cars than we expect. As Geeta mentioned, maybe that slipped through the cracks, but we actually have in our agreement, that possibility to increase our volume significantly was CATL, really, we don't have any limit on it quite frankly. And we just have 12 months planning heads up. And if I see middle of the next year, that we have terrific sales on the reservation numbers, we can call CATL and saying, “Look, we need x amount more whether it's double or triple or whatever it is from you know 12 months later”. So now it's just a matter how many vehicles can we sell? Well, I'm really, really excited about this specific battery deal, because it allows us that and I think very few other startups probably have that ability. Also, remember, most of the startups are buying cells and make no packs. In this case, you know, CATL is making the packs, and we get a full finished solution to us and that gives from my point of view, also some other advantages down the line.
Joseph Spak: Great, thanks. And maybe just a second question on your upcoming LA Auto Show. And you're going to show these vehicles. I mean, how soon after that the open configurator. So you start to get a sense of that next so you can you know properly let your suppliers know, you know, as how long does that process sort of need to be? And then when should we expect that configurator to open?
Henrik Fisker: So we're already working on that, that's going to be open the day off the 17th. So people go in and configure their vehicles. And then we're going to expand on the configurator later and introduce more features on it. But you will be able to go in and configure your car, we're going to have all the different option packages shown, the different features and has quite a lot of them are segment leading in my opinion. And that's all going to be available already on the 17th of November.
Dan Galves: Thanks a lot, Joe.
Operator: Thank you, Mr. Spack. The next question comes from the line of Evan Silverberg with Morgan Stanley. Please proceed.
Evan Silverberg: Hi, all. Evan Silverberg here for Adam Jonas. A question on the batteries. For the 5 gigawatts, the initial 5 gigawatts, where will they be sourced from, country? And you know, you guys have made the emphasis of ESG with a view of making the most sustainable EVs in the world, obviously battery is pretty dirty business as we sit here today. So what steps have you made with the CATL partnership that helps you secure you know sustainably sourced battery supply?
Geeta Gupta-Fisker: Yeah, great question, Evan. So, first of all, obviously CATL is in China. So the batteries are coming clearly from China. They have a pretty elaborate sourcing mechanism when it comes to different raw materials. So we do have a responsible supplier policy that we announced earlier this year that we put in place that we share with all our suppliers. With respect to CATL, first they have a copy of our policy and now as we get into industrialization, we look at the source of some of the raw material, but also very importantly, CATL themselves have put together a very extensive recycling program and we will be working very closely with them on looking at end-of-life use and looking at recycling. What can we do to make, of course, the carbon print lower. Now, in addition to that, you know, I don't want to sit here and talk about CATL's plans. But of course, today they have 65, 66 odd gigawatt hour capacity. And as everybody knows, it is now the biggest battery company in the world. And they have plans to go global, which means that they will be in countries outside China making cells and we are knee-deep in discussions with them on their global plans as well, since we are a global company, and will produce not only the Ocean, but of course, the PEAR program and other variants on the Ocean platform.
Henrik Fisker: I also just want to add one thing on the sustainability. On our flexible lease program, we are working on actually keeping the vehicle all the way to end-of-life and recycling the entire vehicle. So we lease it out for 12 years, which I would consider pretty much end-of-life. We are recycling the vehicle after that. So you are looking at a complete you know closed circuit really and not to mention, of course, the fact that we will get a lot more profitability out of each battery you know being able to lease this vehicle over 12 years, we're talking about more than 250% margin on these vehicles long-term.
Evan Silverberg: That's some helpful color, thank you. And one more if I can squeeze it in. You know, obviously you guys are outside party to this transaction. But you know, it was announced, was it a month or two ago about the Foxconn's plan to try to buy the Lordstown, Ohio plant from Lordstown Motors. Has there been any discussions between you and Foxconn about you know the potential for making PEARs at that facility? Should that deal go through or any color on you know potential production facilities for the PEAR? Thanks.
Henrik Fisker: Well, I think yeah, I think we already mentioned that that's our intent to produce the PEAR in that facility, you know, it's a giant facility which can probably get up to close to half a million vehicles a year. So again, that gives huge potential for us in the growth of the PEAR that initially we're looking at a greenfield that would have started with 150,000 vehicles a year. Obviously, in that facility, if it turns out, we're a lot more successful than we thought we could be, then, you know, we could quickly move up to the 250,000 vehicles that ultimately is our own goal short-term, long-term, I think we can sell much more than that. But it does allow us to move a lot faster and we're constantly in contact with Foxconn as we jointly work on the PEAR program. And of course, we are discussing not only the places of manufacturing, because that I think is sort of determined, although as you mentioned, Foxconn have to do their own final deal. But if that deal comes through, that would be the place, but we're also looking at intelligent manufacturing in terms of being able to take cost out of the vehicle. And as I mentioned earlier, we have an extensive program within Fisker of sharing parts for the Ocean, which means, we don't have to go out and procure these parts and sort of design them from scratch. Well we can go out to as our current suppliers and saying, “Actually, we need on that part instead of you know, whatever, [indiscernible] $400,000 a year. And that means that you're able to lower the pricing for both the PEAR and the Ocean. So all these discussions are currently going on.
Dan Galves: Thanks a lot, Evan. Appreciate it. Erin, can we go to the next question?
Operator: Absolutely. Thank you, Mr. Silverberg. The next question comes from John Murphy with Bank of America. Please proceed.
John Murphy: Good afternoon, guys. [Technical difficulty] simple question. What is the 5 gigawatt hour capacity imply as far as your pack or vehicle [technical difficulty]. Is the chemistry here just curious what you think that applies? Or what does it imply based on your mix?
Henrik Fisker: That we know exactly what it implies, but we're not going to - you know we're not going to elaborate on that, again, we have a lot of I think for the customer, it's super important to know the range, I don't think they need to know the configuration exactly well battery pack or exactly how we were able to pack it. That's something all our competitors would love to know. But that's not something that we're here to talk about at this point, it will probably come out close to launch because that will take a lot longer than to copy it.
John Murphy: Okay. And then just the second question, the ESG, the lifecycle analysis. Just you know why you think it's necessary to do that? And what you think the conclusions will lead to? I mean, could this you know put you in a position to do more green bonds or more to ESG you know cap raises and I was just curious what the motivation is there what you think the conclusions will be? And if that opens the door to more funding?
Henrik Fisker: Well, first the motivation is we want to be the world's most sustainable car company. We have clearly set that and we're trying to do everything we can to make that a reality and that takes a lot of work in a lot of different areas, as I mentioned before, we are going in with the Ocean in a CO2 neutral factory next year, that's part of it. And then there's all the materials we use and then there is recyclability. So you know, it's who we are as a company as a brand. And, Dan maybe you can elaborate a bit on it.
Dan Galves: Yeah. I think the point of the lifecycle analysis is, it's not enough to just say you have a climate neutral car or a kind of a low emission car. You know you really need to prove it, you need to measure it and you need to measure all points of the lifecycle from upstream sourcing all the way to end-of-life like Henrik said. And you know, there's actually an ISO standard for doing a lifecycle analysis, it's really takes a lot of hard work. But where we have the plan in place and we're ongoing on that plan. And really, the intent is to be able to measure and prove you know, how sustainable our vehicles are going to be.
Henrik Fisker: Maybe one thing I can just add is that, the reason I think we have the possibility to be number one in the world on this point is, because you know, we are building everything from scratch. We don't have a legacy that we have to tear down and get rid of. You know we are going all out and we have gone over this from when we started the company, it's been a focus always is not a fab we just kind of came up with a couple of months ago. This is something that has always been one of our main brand pillars and we'll continue to become the one on many brand pillars.
John Murphy: Okay, thank you.
Dan Galves: Thanks, John. Erin, I'm just going to break in for a second you know as we have done, you know, every earnings call so far, we've collected retail investor questions from the say, technology platform. I'm just going to go through a few of those. And then if we have time, we'll get back to the analyst queue. So the first one there were several questions about kind of competition and differentiation. So the first question is what differentiates Fisker from the other EV makers? What is unique about Fisker's proprietary systems?
Henrik Fisker: So I think, you know, I think we have a unique design that's obvious. And you will see that when we get in the vehicle as well. The user experience will be phenomenal. It's a whole new take on what a user experience should feel and look like once you get in the vehicle. It's headed up by, you know, our Head of User Experience here from Microsoft and his team that really, I think none of them comes from the automotive industry, almost. Most people come from gaming, other areas of the digital industry. So we've taken a whole new take on that and I think that's going to be really, really different. The sustainability aspect, we already talked about it, I think is a huge differentiator. I think a lot of young people today want to identify themselves with a brand withstands for something meaningful. And we have already seen that in the over 18,600 orders that the order reservations we have. The powertrain performance in our class is fantastic on all levels. That includes, as I said before, class-leading and range. But not only that, we have a very unique system in our price range that makes you pretty much feel like a Formula One driver or makes you drive extremely safe in icy and wet conditions. And it's something we will elaborate on when we launch the vehicle in two weeks is phenomenal. I've driven it. I've gone out on a test track and being able to drive our vehicle about 10 miles faster through a corner than any other vehicle without this device. So that's something that we're going to be talking about. And then I think the value for money, you know, everybody's going out making luxury EVs and quite frankly, I think we're going to have a flooded market with luxury EVs and even the traditional car companies are making luxury EVs. We are tackling the market, not just with the little tin can hatchback, you know, on the 40,000, we are tackling the market with the most [technical difficulty] of vehicle in the world, which is an SUV. And I think you're going to be impressed and everybody's going to be impressed when they see the value for money we're able to give in this vehicle and part of it is that, we were been able to work with our suppliers very closely on getting the right pricing because they believe in our volume, because they believe in the design and the desirability of the vehicle. Don't forget, the suppliers have access to all the secret details behind the curtain of how our vehicles can perform. They have access to how it truly works, how it truly is going to be experienced and they believe in us and that's why we have a lot of amazing long-term partners like CATL stepping in to be part of this adventure.
Dan Galves: Thanks, Hendrik. Now just about the solar sunroof how much power will it generate or how useful is it?
Henrik Fisker: Burkhard?
Burkhard Huhnke: Yeah, thanks for the question. So at this point, we believe that undergirds not perfect, but good conditions, the technology can generate around 1,000 miles per year of completely climate neutral free driving. There's a lot of IP in this technology, we developed our unique converter to enable direct charging of the high voltage battery, the solar roof. So to understand the question directly, we believe the option of solar roof will be very useful and more importantly, effective solar cell technology get more efficient and lower end cost over time, which is why we are very excited to believe we are on the cutting edge here.
Henrik Fisker: Maybe one thing I just want to what Burkhard just said and kind of showed in a different way. We also internally calculated out what it would mean for the average driver for every time, you would completely charge the vehicle. So, if you think about some sort of what is the total range of the vehicle, I would say, the way to look at this as well is that they could increase the total range on the vehicle about 25 miles if you calculate how many times to charge the vehicle over a year. So there's many ways to look at this and obviously, yes, you do have to live in an area where there's a fair amount of sun, but most of the vehicles right now are actually reserved in those areas.
Dan Galves: Got it. Thanks, Henrik. We also had a bunch of questions about sales and marketing, as you would imagine a couple of weeks before the Auto Show. The simplest one was, what can we expect that Fisker Ocean launches in '22. You know, we've covered a lot of this, anything to add?
Henrik Fisker: Yeah, I think, you know, a couple of things I didn't add was, we're going to, of course, have media drives next year. And then, of course, later, it really in the end of '22, probably more in '23, we're going to start with customer test drives, but also leading up to all that, I think it's about creating brand awareness globally. And as I mentioned before, we do have two amazing prints of agencies that we have hired, that together with our [indiscernible] teams, we are creating campaigns that we're going to launch all over Europe and all over the US. And they are going to be starting that launch already in the 17th of November. So I'm really confident in our marketing plan. I think it's phenomenal. And when we show the first experienced vendor sometime I think in the second quarter next year in LA, we have also taken a very different approach there. It's going to be really, really different. Super cool. I think that will attract a lot of attention as well.
Dan Galves: Great. Thanks, Henrik. Can we go back Erin to the analysts queue? We have a little bit more time.
Operator: Absolutely. The next question is from Jeff Osborne with Cowen. Please proceed.
Jeff Osborne: Hey, great. I had two quick ones. So one on the commonality between Ocean and the other platforms. Can you talk about what the longer-term OpEx and CapEx implications are of that? And the second question I had was just if you could further elaborate on the decision to use silicon carbide what the incremental cost is relative to the incremental range at the beginning?
Henrik Fisker: So I think on the second one just to have that first, I don't think we want to give anything away to our competitors on that one. But I wanted to highlight that we have that high tech in our vehicles even in the vehicle at $37,499. And I think that was really unique. And that comes back to the value that we offer our customers. In terms of the shared parts between all our platforms actually, we have spent a lot of time internally looking at how we can drive down cost long-term by using common parts in many areas of our vehicles. It's still a program that we're in the middle of executing. So we'll probably maybe talk more about that later. But maybe Geeta has a few things you want to talk about in terms of CapEx.
Geeta Gupta-Fisker: Yeah. Hey, Jeff, great question, it's Geeta here. So, Jeff if you look at the Ocean in terms of OpEx and focus a little bit on R&D and where we'd spent money, we obviously have hired, as we said, over 300 people and we'll keep hiring. So we're developing a culture of engineering, we're developing a deep learning in vehicle integration. Second area we obviously have third-party suppliers. Magna Steyr is a development partner. And again, we've learned a lot together. Third area is, we had supply ED&D. So that's clearly the synergies that Henrik talked about, where there are certain carryover parts, where once you've engineered them, you simply carryover the data and that creates the commonality of parts. And the fourth critical area which Burkhard talked about, I think last earnings and today as well, is everything you do in prototype and testing. So to create a globally homologated vehicle, all your crash model we'll see, how you truly look at optimizing, testing, how do you look at data? How do you put together a very high quality vehicle? So those are clearly the key areas. The other areas, when it comes to OpEx is obviously software. So all the different control units, different parts, you've got a program software, we're learning as a team. And clearly, you can carryover some of that stack, some of that according on to your next generation of parts. Now, all of that OpEx you can use across all your various different models. Now, let's come to CapEx. In some cases, we might be able to use existing tooling, increase capacity, lower the cost of parts across Ocean and other models. But in some cases, for example, when it comes to body in white or it comes to Class A parts or it comes to heavy parts, we may have to do local stamping. So I think that there'll be huge synergies, a lot of things and more importantly, we'll also be able to with the commonality of parts achieve our aggressive timelines.
Jeff Osborne: Appreciate it.
Dan Galves: Thanks, Jeff. Next question, Erin, please.
Operator: Thank you, Mr. Osborne. The next question comes from Pavel Molchanov with Raymond James. Please proceed.
Pavel Molchanov: Thanks for taking the question. I remember earlier this year, you were lobbying for an adjustment to the EV tax credits, partly to make sure there was a cap on to the vehicle price of eligibility. And it looks like something similar will be included in the built that better plan. Given what you've seen from that from the legislation? Are you happy with how it turned out?
Henrik Fisker: Well, first of all, when you say lobbying, I just want to make clear to everyone in the call, we don't spend any money on lobbying. Our lobbying is our internal communication team, where putting things on the internet or on LinkedIn or wherever you can do it. And of course, they'll call somebody. But coming back to the plan, are you happy with how it turned out? I don't think it's turned out yet. I don't think it has been voted in yet. And I personally, I don't want to talk politics. But I personally doubt it's going to be voted in exactly this way, because if you have noticed there is pretty much every major car company in the world, except for the three big ones in Detroit have pretty much spoken out against this plan here. It also violates agreements that the US have with Canada, Mexico and Europe. So I think it remains to be seen whether it comes out this way as it is now. However, I could imagine and I think it still makes a lot of sense to have a cap on, you know, the price of the EV that gets a tax credit. And I think whether it's going to be whatever is proposed now, maybe not. But I think that will kind of from a cap. And I think that's, of course a big advantage for us, because we have a very affordable vehicle and it's a vehicle that pretty much fits in everybody's driveway. It's something everybody wants, and you know, with a reasonable good EV credit, everybody might be able to afford it. And I think we're standing really, really well against the competition. And end of the day, the automotive industry is all about products, it's not just about size. We have seen big car companies fail the models because they weren't desirable, even if they're the biggest in the world. You've seen some of the biggest car companies lose huge amount of market share. I think the market in five years will look nothing like it looks today, and I think by 2030, 50% of all vehicles sold will be sold by none of the three small car companies of today. So it's an exciting time, and we're really excited to take part of it.
Pavel Molchanov: Okay. And let me follow-up on the mix of reservations. You've broken out, thank you for that between fleet and consumer. Can you also give a geographic breakdown for example, North America versus Europe versus China?
Henrik Fisker: Yeah. We don't - we are not taking any reservations in China at this point. We're in the middle of setting up a Chinese entity that should be set up later this year or I think within a month or so fairly quickly. And we need to have a Chinese entity to be able to actually take reservations, we got a data protection taking deposits and all that stuff. So that's going to probably not going to happen before beginning of next year. And I'm really excited about that. I think we have a huge potential in China. In terms of geographically between US and Europe, we have done, I mean, zero brand awareness in Europe, we are going to go to a European event next year in the February. And that's really when we start the big push over there. So right now, just that off my tongue, I would say, probably about, I would say, 80%, 85% of our reservations come from the US or North America. But I expect that rapidly pertains to close to 50:50. It could even go higher in Europe, when we think about in our state, about half of all vehicles in Europe are sold business to business, meaning, large banks or other companies are buying vehicles or leasing vehicles for their cost, for their employees as an incentive, because of certain tax rules, et cetera. And we have already as you know, secured several of these orders way ahead of even getting any specifications for a vehicle. So we see a huge potential for our type of vehicle to be sold into these B2B. And also, you know, we are targeting the top 100 companies in Europe that is focusing on ESG and sustainability. And we think we are the most attractive vehicle on the planet right now to them. And alone between these companies, you're talking about hundreds of thousands of vehicles. And I think we have a very good chance to take a huge chunk out of that in Europe. So, we'll see where it goes. But I have high expectations for sales in Europe or reservation in Europe on B2B.
Dan Galves: Thanks, Pavel. Appreciate it. Thank you. Erin, we have time for one more question, please.
Operator: Absolutely. The next question comes from Itay Michaeli with Citi. Please proceed.
Itay Michaeli: Thanks, everybody. Good afternoon. Just two quick ones for me. One, just about back to the Ocean with most of the sourcing now largely complete. Maybe just talk about how you're feeling about the prior, you know, gross margin targets for the company that sort of at the mid-range ASPs. And secondly, maybe for Henrik, you mentioned, flex lease a couple of times on the call, I'm just curious, just how prominent will flex fleet be as part of the initial new strategy for the Ocean, and meaning, how comfortable are you taking the mix of flex lease to something, you know that that's very material very high in terms of the overall percentage of volume?
Henrik Fisker: The flexible lease, I think is a huge competitive advantage. However, it also is, of course, a product that really starts to make you a lot of money about three to four years later. And after four years, you're kind of printing money, because your car has been paid off, you're just, I mean, you're just having ownership of a product that somebody is just paying in money for every month with little or no service and be on top of that, we can sell various products over the air to these customers again and again and again, every time somebody new comes in. And like I mentioned over a 12-year period, you're talking about more than 250% profit margin, that's without selling any additional products. So it's a phenomenal, I think product that you have come up with and it's something that traditional carmakers probably can't do because of dealers. And we can do it. So I'm super excited about that. And we have some, you know, internal discussions about how fast should we roll it out, I think we're going to - we're definitely going to go out and test the waters immediately when we [technical difficulty] with a you know a fairly lower number of vehicles, because you know, we're still a startup and we'd like to get some cash in first. But as we test the waters, if we see that this is a huge success, we can obviously decide together with the right financial partners, if you want to take a much bigger market share than we have planned right now. And I think there's a good potential that we most likely will be rally in a situation in the beginning where we probably can't build enough vehicles in the very beginning to fulfill the market. But once the full ramp up, it could be a way for us to increase our market share faster than we have planned today, in my opinion.
Geeta Gupta-Fisker: Yeah, Itay I'll take the question you asked about gross margins. So I think we feel really good about the content we put in the car and the margins with respect to the content we've put in the car. Obviously, the world is still in trauma when it comes to logistics and there are still some unknowns. So I think hopefully as we get closer to our ramp up and volume deliveries, we have more visibility on there now. What - let me touch on a couple of super exciting things. So the first thing is obviously with the battery announcement, which being the biggest share of the bomb, we are very excited about what we've achieved for the volumes. And I think with our relationship with CATL is only going to get better. The second thing I want to say is that, when we originally was sourcing, commodity prices were quite high and we feel good where we are with the bomb, and we need to monitor the commodity prices go up. Now, one thing that I want to highlight, which is really exciting, that there is obviously the difference between aluminum and steel. And the research we've done shows that steel futures, they look far more favorable than aluminum. And there is always an upside and downside risk. But I think based on what we source the car, and where we see the commodity pricing, I think we're in a really, really good place, we're in a very balanced place, Itay.
Henrik Fisker: I just want to add one more thing about the flexible lease on the potential. If you saw the announcement about Hertz, which wants to lease a vehicle, Tesla to Uber driver for $300, I think it was about $330 a week. I mean, it's about $1,300 a month. We are leasing our base vehicle on the flexible lease for $379 a month. So I can double that price make a 100% profit margin. And I think both the Uber guy and us will be really happy. So there you see the advantages we have. Thank you.
Dan Galves: Thanks, Itay - thanks a lot. And thanks, everyone for joining the call. Erin, that's all we have time for, so if you could close out the call and we'll talk to everybody next quarter. Thanks everybody.
Operator: That concludes the Fisker, Inc's third quarter 2021 earnings call. Thank you for your participation and enjoy the rest of your day.